Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to today's Oxford Industries, Inc. Fourth Quarter and Fiscal Year 2011 Earnings Results Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. And now, I would like to turn the conference over to Anne Shoemaker, Treasurer. Please go ahead, ma'am. 
Anne Shoemaker: Thank you, Yolanda, and good afternoon, everyone. Before we begin, I would like to remind participants that certain statements made on today's call and in the Q&A session may constitute forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not guarantees, and actual results may differ materially from those expressed or implied in the forward-looking statements. Important factors that could cause actual results of operations or our financial condition to differ are discussed in the documents filed by us with the SEC. We undertake no duty to update any forward-looking statements. 
 Also, during this call, we will be discussing certain non-GAAP financial measures. You can find a reconciliation of these non-GAAP financial measures to GAAP financial measures in our press release issued earlier today, which is posted under the News Room tab of our website at oxfordinc.com. 
 And now, I'd like to introduce today's call participants. With me today are Hicks Lanier, Chairman and CEO; Tom Chubb, President; Scott Grassmyer, CFO; Terry Pillow, CEO of Tommy Bahama; and Doug Wood, President of Tommy Bahama. 
 Thank you for your attention. And now, I'd like to turn the call over to Hicks Lanier. 
J. Lanier: Good afternoon, and thank you for joining us. With an excellent holiday season under our belt, we are very pleased with our fourth quarter results. Consolidated net sales rose 27% to $199.7 million. On an adjusted basis, EPS for the quarter was $0.61 compared to $0.32 in the same period last year. These fourth quarter results capped an excellent year for Oxford particularly in our branded businesses with the strength and momentum evident in Tommy Bahama and Lilly Pulitzer. We are confident in our decision to make some significant investments in 2012 to advance our long-term growth initiatives. Terry and Tom will provide more details, but needless to say, we are thrilled with the opportunities these brands afford us to deliver even more impressive results in the years to come. 
 I am also pleased to report that our Board of Directors has increased our quarterly dividend to $0.15 per share. Raising the dividend by 15% reflects the continued improvement in our business and Oxford's commitment to deliver shareholder value.
 I'll return with some closing comments, but I'd like to now turn the call over to Terry Pillow to discuss Tommy Bahama's results for the quarter and plans for 2012. Terry? 
Terry Pillow: Thank you, Hicks. Our holiday season, selling season exceeded our expectations with a net sales increase of 17% in the quarter compared to last year. Our comp store sales increased in low double digits in our full price stores and e-commerce sales grew more than 50%. Combined, full-price stores and e-commerce had a greater than 20% increase on a comp basis while maintaining gross margins. These were particularly strong for a holiday with the half-zip pullover and Emfielder Polo emerging as perennial favorites. We also benefited from operating additional stores at a modest increase in wholesale sales. The higher sales drove the 20% increase in operating income in the fourth quarter. 
 Our women's business continued to gain strength in 2011 and represented 26% of our full-price direct-to-consumer business. Women's sales in our direct-to-consumer channels exceeded $60 million for the year, a 26% increase over 2010.
 There are clearly a variety of growth opportunities for Tommy Bahama, particularly in retail and e-commerce. Our estimates for 2012 reflect sales growth around 15%, primarily in the direct-to-consumer businesses. These projections reflect the continued momentum and strength of the Tommy Bahama brand in the marketplace. 
 Over the last several years, we have built Tommy Bahama into a major lifestyle brand with sales expected to exceed $500 million in 2012. Our continuous success has given us the confidence to make important investments in the Tommy Bahama brand. In the United States, we will be opening a fabulous bar, restaurant and retail store on Fifth Avenue in New York City. Construction is underway and we expect to open in late fall. 
 Another high profile location in Chicago is slated to open this summer. This store will have of 80 feet of frontage on the 50 Yard Line at Michigan Avenue. We have also planned 8 to 10 additional stores around the country, ending the year with 106 to 108 domestic stores. 
 Our international plans are well underway. This Thursday, our first company-owned international store will open at The Venetian in Macau. We have signed a lease for a restaurant, bar and retail store in the Ginza district of Tokyo, Japan; a store on Orchard Road in Singapore, and are continuing to search for additional locations throughout Asia. 
 As you will recall, we've had a long-standing sourcing and merchandising presence in Asia. To augment this infrastructure, we have moved key retail management from the U.S. to Hong Kong, hired operations and merchandising personnel in both Hong Kong and Seattle and have engaged a third-party warehousing and distribution partner. Our investment in expanding our international infrastructure for Tommy Bahama began in 2011 with expenses of $3.4 million. In 2012, we expect to have approximately $12 million of expenses associated with our Asian expansion and New York store opening, with approximately half associated with the store preopening costs and half associated with continuing to build our infrastructure. Our investments in Asia and in New York in 2012 are expected to set the stage for meaningful future growth. However, we do add short-term pressure to operating margins, which we expect will be slightly lower than those in 2011. 
 We believe that launching Asia ourselves in this initial phase is important. We have hired good local talent and relied on outside expertise were needed. This strategy allows us to better control how the Tommy Bahama brand message is delivered in these new markets. As we expand, we will -- we may consider bringing in local partners in certain markets to facilitate growth. 
 Now, I'll turn the call over to Tom Chubb to discuss results and our other opportunities. 
Thomas Chubb: Thanks, Terry. Good afternoon, everyone, and thank you for joining us. I'll start with Lilly Pulitzer. As you may recall us mentioning with its resort chic positioning, Lilly is primarily a first half business. While that remains true, we couldn't be more pleased with the strong results Lilly reported for the fourth quarter. The momentum in this brand continued with sales of $23.1 million compared to $16 million last year, a 44% increase. Because we acquired Lilly Pulitzer on December 21, 2010, only $6 million of the $16 million of net sales were included in our fiscal 2010 consolidated financial statements. 
 E-commerce sales more than doubled and increases were also reported in the wholesale, signature store and company-owned retail businesses. The productivity and profitability of our retail stores increased significantly in 2011. 
 One of our most important takeaways was from our Ardmore, Pennsylvania store, where we relocated from a 4,800-square foot space to a 2,200-square foot space, and yet, managed to achieve a significant sales increase. We believe that a 2,200- to 2,500-square foot space is ideal for Lilly in most locations. We recently opened a 2,500-square foot store at SouthPark Mall in Charlotte, and the early results have been spectacular. A lease has been signed for a similar size store in Phipps Plaza, Atlanta, and we hope to have a couple of more ready to go before the end of the year. 
 As we enter 2012, the priorities for Lilly Pulitzer are continuing to deliver superior product, developing the e-commerce business and growing our database of customers. We believe our digital marketing efforts continue to fuel our brand momentum and drive traffic not only to our e-commerce site, but our stores, wholesale accounts and signature stores. 
 Near the end of March, we are at the core of Lilly's biggest selling season, and we are pleased to be able to say that the business is performing well across all channels. As always, print, pattern and color are performing very well for Lilly and dresses remain our strength. At the same time, we are pleased to see that we are selling more sportswear. For the full year 2011, the Lilly Pulitzer business grew 30% to $94.5 million and generated adjusted operating margins of 18.7%. We are comfortable projecting another year of significant growth and expect sales to increase in the order of 15% in 2012. 
 While we will need to make some SG&A investments in this business to support the growth, we believe we will continue to achieve a similar operating margin in 2012. We saw a nice uptick in sales at Ben Sherman in the fourth quarter, increasing from $20.9 million a year ago to $25.9 million for the fourth quarter of fiscal 2011. Operating results also improved over last year, with a small loss of $300,000. 
 That said, the economic conditions affecting the U.K. and continental Europe continue to be a barrier to accomplish our objectives on our timetable. As a result, our 2012 plan forecast only modest improvements in operating results on sales that are relatively flat to 2011. 
 Net sales for Lanier Clothes for the fourth quarter of fiscal 2011 were essentially flat with last year at $19.8 million. The sales mix continues to shift to branded tailored clothing from private label. 
 Operating income was slightly lower than last year at $1.5 million due to gross margin pressures and the increased SG&A associated with branded sales. This business continues to produce solid results. And in 2012, we are expecting a low double digit operating margin on roughly flat sales. The corporate and other operating results, as adjusted, were a loss of $3.9 million in the fourth quarter of fiscal 2011 compared to a loss of $3.7 million in the fourth quarter of fiscal 2010. 
 I'll now hand the call over to Scott Grassmyer. 
K. Grassmyer: Thank you, Tom. I'll walk through our consolidated results and our guidance for 2012. Consolidated net sales increased to $42 million or 27% in the fourth quarter of fiscal 2011 compared to the fourth quarter of fiscal 2010. The increase was primarily due to higher sales of Tommy Bahama, sales related to the Lilly Pulitzer business, which were only included in our operating earnings results for 6 weeks in the fourth quarter of fiscal '10 and the increase in sales at Ben Sherman. 
 The fourth quarter saw decreases in consolidated gross margins on both GAAP and adjusted basis. Consolidated gross margins, as adjusted for the fourth quarter, were 54.8% compared to 55.9% in the fourth quarter of fiscal 2010. The lower gross margins were primarily due to the impact of higher product costs, particularly at Ben Sherman, and partially offset by a change in sales mix towards higher gross margin branded and direct-to-consumer sales. 
 For the first half of 2012, particularly the first quarter, higher product costs will continue to impact gross margins as higher cost goods flow through the P&L. We expect this to improve in the second half of the year and expect slightly higher consolidated gross margins for the full year. 
 In the fourth quarter, we were able to leverage SG&A, which on an adjusted basis, declined to 47.5% of sales from 50.2% in the same period of last year. On a dollar basis, SG&A increased primarily due to the addition of Lilly Pulitzer, increased costs associated with retail stores and Tommy Bahama's international expansion. 
 Consolidated operating income, as adjusted, increased 41% to $18.8 million in the fourth quarter of fiscal 2011 from $13.3 million for the fourth quarter of fiscal 2010. The increase in operating income was primarily due to the strong operating results of Tommy Bahama and the inclusion of a full quarter operating income for Lilly Pulitzer compared to only 6 weeks in the fourth quarter of fiscal 2010. 
 Interest expense for the fourth quarter of fiscal 2011 was $3.5 million compared to $4.8 million in the fourth quarter of fiscal 2010. The decrease in interest expense was primarily due to the repurchase of 45 million of our 11 3/8% Senior Secured Notes during the second and third quarters of fiscal 2011. 
 Our balance sheet remains strong with inventories at an appropriate level to support anticipated sales increases. Total inventories at January 28, 2012, increased 21% to $103.4 million. As of January 28, 2012, we had total debt of $106 million compared to $147.1 million at January 29, 2011, consistent primarily of our Senior Secured Notes. 
 At the end of the fourth quarter of fiscal 2011, we had $13.4 million of cash on hand, $148.1 million of availability under our U.S. revolving credit facility and $3.2 million in unused availability under our U.K. revolving credit facility. We have the opportunity to refinance our Senior Secured Notes at par plus a half-coupon premium at the first call date in July 2012. We expect to redeem the notes and refinance the debt at a lower interest rate. As a result, our guidance assumes a reduction in interest expense of approximately 30% to $11 million for the full year. Changes in market conditions or other factors could impact this assumption. Cash flow from operations was $44.6 million in the 2011 compared to $35.7 million in the prior year, primarily due to higher earnings. 
 For fiscal year 2012, which ends on February 2, 2013, we expect solid sales and earnings grow, with sales growing at a slightly faster pace than our earnings due to the investments described earlier. We expect net sales of $840 million to $855 million compared to $758.9 million of fiscal 2011. Adjusted earnings per diluted share are expected to be in between $2.70 and $2.80, excluding approximately $9 million in anticipated charges associated with refinancing of the Senior Secured Notes and approximately $2.4 million associated with a change in fair value of contingent consideration. 
 We anticipate that the first and fourth quarters will be our largest quarters, both in terms of sales and operating income. Conversely, with retail demand for our brands being weakest in the third quarter, we expect that our lowest operating margins will continue to occur during the third quarter. 
 SG&A is expected to rise at a pace slightly higher than the planned increase in net sales. Depreciation and amortization of intangible assets are expected to be approximately $28 million in fiscal 2012. Royalty income is expected to be flat with fiscal 2011. 
 The effective tax rate for fiscal 2012 is anticipated to rise to approximately 38% compared to an effective tax rate of 32.8% in fiscal 2011. Fiscal 2011 effective tax rate benefited from certain discrete items. In fiscal 2011, capital expenditures were $35.3 million. Capital expenditures for fiscal 2012 are expected to approach $60 million as we increase our pace of retail store openings, including Tommy Bahama's high-profile stores in New York and Chicago, Tommy Bahama's international rollout, and 3 or 4 new Lilly Pulitzer stores. We also anticipate capital expenditures for remodeling costs for existing stores and continued investment in information technology and distribution center enhancements. 
 We expect net sales in the first quarter of fiscal 2012 to be in the range of $220 million to $230 million compared to net sales of $208.3 million in the first quarter of fiscal 2011. Adjusted earnings per diluted share for the first quarter of fiscal 2012 are expected to be approximately flat with a year ago level of $1.07 due to the impact of increased product costs and expenses to support growth initiatives. 
 Thank you for attention, and now, I'll turn the call back over to Hicks. 
J. Lanier: Thank you, Scott. As you can tell, we are pretty excited about our results in 2011 and our plans for 2012. We are particularly proud of our guidance in view of 2012's unusually high level of investment and increased tax rate. We feel that these strong projections reflect the power and momentum of our brands. 
 Yolanda, we are ready for questions now. 
Operator: [Operator Instructions] We'll hear first from Eric Beder with Brean Murray. 
Eric Beder: Could you talk a little bit about Tommy Bahama women's, where are you seeing the success there and where do you think the category is taking to the next level from like 25.6% to like 30-plus going forward? 
Terry Pillow: Eric, this is Terry Pillow. As I said, the women's business has been strong and our dress category has been the leader of that business and it continued to perform well in 2011 in the fourth quarter. We've made the statement that we're very happy with 26%, but we've always said that we're not going to stop until we get it to 50% of the business because we feel that when 50% of the business in our stores is women's that will be a better brand for it. And we're getting traction across the sportswear piece of the business, the women's swimpiece and it's pretty broad across all categories, so we couldn't be happier with it. 
Eric Beder: In terms of expansion for the stores in Asia, how are those going to be configured differently than the U.S. in terms of maybe the mix of product or the size of the store? How should we think about kind of the Asian size? And what should we think about the potential for that market, if it's too not early? 
Terry Pillow: It is early to size it. It's not too early. We're opening a stores in Thursday in Macau, and we're very excited about that store. It is approximately 2,500 square feet. So it's a bit smaller than the formats that we're going with domestically. But we're planning the mix of those stores out of the gate at approximately the same as we did -- as we do in our stores here, about 50% of the mix to be the men's and 50% of the mix to be women's, so we can get a read on just how important both are. We've spent an extensive amount of time on sizing, Eric, that all the sizes that we will have for the Asian opening on Thursday, or a new size spec. It's not just of graded spec, but smaller. It's a brand new size spec and have done extensive research and found that it's very appropriate for that market. So the store -- design of the stores are a very contemporary, not -- I wouldn't use the word over the contemporary. they're still -- we're not walking away from our island theme, so they'll have clearly an island theme, but be a little fresher and then some of the ones that we have domestically. So we're excited as we move forward, and we're using different formats in Macau and Singapore, Tokyo to test different store formats to see which ones is the -- we actually like the best. So we're very, very excited to see this store and get started in Asia. 
Eric Beder: Cool. And for Lilly Pulitzer, could you talk a little bit about -- you've been talking about kind of diversifying the white pants in other areas in terms of dresses. What have you seen as early hit in what is, I think, still a very strong dress market? And where are you looking to put the other -- are you still going to focus on the Southeast as a place to put the other kind of new openings this year besides Atlanta and Charlotte? 
Thomas Chubb: Well, Eric, I'll answer the first question about what else besides dresses are working? Dresses are very strong. Print, pattern and color is always very important for Lilly Pulitzer, and there's no difference. This year, some of the sportswear products that we're offering, we've done shorts and had a lot of success with those over recent years or over the business did before we bought them. Those continue to be a strong point. Colored denim is a natural for Lilly, and we're offering that. We've got shirts, we've got sort of tunic-type tops that do well. So there's a variety of other products besides dresses and the objective for this year is to grow the dress category, but to grow sportswear at that little bit faster rate so that it becomes a bigger part of the business. 
Eric Beder: Right. In terms of the expansion, what are you looking to put those other 2 stores? 
Thomas Chubb: The other couple of the stores, we don't know exactly at. We're looking at locations, sort of continuously. The Southeast is a good bet because it's a very good margin for Lilly Pulitzer, but we just don't have them signed up yet. 
Operator: We'll go next to Edward Yruma with KeyBanc Capital Markets. 
Edward Yruma: So the incremental $12 million in investment, can you just aggregate that and talk about what percentage of that is due to Asia and then what piece of that is due to both New York and Chicago? 
Terry Pillow: Yes. A little over -- about $3.8 million is our projection with the rest being Asia. And in New York, obviously -- it's mostly preopening store costs. Asia's just got a fair amount of a preopening start costs in that also, but also has the infrastructure we added to support the Asia expansion. 
Edward Yruma: Got you. So if I stripped that out, what kind of operating margin target does that imply for Tommy Bahama? And I guess, given the strong performance over the past 24 months, how much stronger can the operating margin at Tommy Bahama get? 
Terry Pillow: Well obviously, we would have expanded operating margins if you didn't have these costs and that's, obviously, the goal long term as to expand those margins. But we've expanded nicely this year, I think we can continue at that pace. 
Edward Yruma: How should -- one other follow-up. How should I think about the Lilly Pulitzer significant stores? And could that number grow this year? And then, I guess, longer term, what type of store opening cadence do you think you can have at Lilly Pulitzer now that you've gotten strong store economics? 
Thomas Chubb: Ed, to answer the signature stores, they are very important part of the Lilly strategy. They've been a big part of the business for a long time. It is wholesale distribution for us, but it's very high quality distribution that presents the brand in a way that we can be very proud of. So we expect that signature stores will be part of the mix for the foreseeable future for sure. At the same time, we are excited about what's going on in our own retail stores. The possibility of those stores improved dramatically during 2011 and I think we in the Lilly team are feeling pretty confident about our ability to open stores that can be very successful financially. Our plans for this year, as we mentioned, are to open 3 to 4 stores. But to be very candid with you, to do that, we're really having to stretch the staff pretty thin and one of our objectives is to build the staff so that we're organized to grow the retail platform going forward. So we'll probably talk more about what the pace is for Lilly Pulitzer in out years later in this year. But right now, it's 3 to 4 for this year, great growth in the total business, and that's really coming across all of the channels that our emphasis is on growing e-commerce in the retail stores. 
Operator: We'll take our next question from Robin Murchison with SunTrust. 
Robin Murchison: Directionally, how do you expect the margins to compare the Tommy Bahama New York location versus the Chicago location? 
Terry Pillow: The -- I'm not sure. This is Terry, Robin. I'm not sure. The gross margins... 
Robin Murchison: Well or at the operating margin level, Terry? I presume New York would be, I mean, you're expecting to make money in that store. 
Terry Pillow: No, that's right. I see where you're going. We definitely expect to make money in that store, we're not opening it to write it off against as an expense that we've -- square footage that we have on that store of what we're opening there pro forma that we've got for that store is to make money. And we've looked at it very hard, and we think we can do that. The same with Chicago. I mean, these are high-rent locations, there's no question about it. But we're not looking at them differently than any other store that we opened. I mean, obviously the economics by store are different, but we're approaching this exactly the way we approach other stores. We're in business to make money, and we're planning on making money in those 2 locations. 
Robin Murchison: I know it's early, but do you envision -- do you guys envision additional high profile flags like New York elsewhere in the world? 
Terry Pillow: Well, we mentioned, I guess you'd have to consider the store we're opening against the flagship. It's got a bar, a restaurant and a store. We think that that's a market where we can definitely show up with a store like that. And yes, we like these locations. We're going to get New York opened and get that one under our belt, but there are clearly other locations in the United States, international where we could represent the brand well in what we call an island, so absolutely. 
Robin Murchison: And when you talk about the $12 million additional SG&A this year attributable to Tommy, half pre-opening half infrastructure. Embedded in that half infrastructure, is that, I guess, the movement of some people and processes and pipe them into Asia. 
Thomas Chubb: Absolutely. I'll let Doug... 
Douglas Wood: It's something we've started last year where we started to move people, move them into the market. As we put together a -- we have a merchant operations team now based out of Hong Kong. We've also got a group in Seattle operationally supporting the international effort. Also we've got our distribution group or a distribution set up in Hong Kong, as well as just the cost associated with all the legal and tax support that you need to do to get yourself to do business in 5 different markets and, if anything, we're doing this for the long haul. And that's we got invested in 2012. 
Robin Murchison: Okay, great, great. Let me move on to Lilly Pulitzer. I wanted to ask about any additional color you might be able to provide? I'm frequently asked about Lilly on the West Coast -- the strength of the brand on the West Coast. And I just wondered if you could provide any insight? 
Terry Pillow: Well, the West Coast, as you know, is not an area where we do a lot of business in Lilly Pulitzer. That said, California is one of our top e-commerce destinations. And we continue to believe that over the longer term, there should be an opportunity out there. But I think the way that we're thinking about it in Lilly Pulitzer is that we're not really even fully developed east of the Mississippi. There's a lot of white space still and we're going to go from strength to strength and work our way across the country from east to west. So it's good to have that opportunity out there, but there's a lot of opportunity closer to home to start with. 
Robin Murchison: Lots to fill in, still? 
Terry Pillow: Yes, still a lots of white space out there. 
Robin Murchison: And then on Ben Sherman, given the difficult U.K. market, I mean, how do you -- I know you guys have been watching it and continue to have decent hopes for it, as you've been hit with an average unit cost in cotton and, of course, the difficult U.K. environment. I mean, how do you sit back and think about it and know how long to stick with it, if you will, given the hurdles. 
Terry Pillow: Yes, there's no doubt that the economic climate, particularly in the U.K., which is half the business is sort of a making it harder for Ben Sherman to achieve its objective. And, as you know, Robin, our focus at Oxford is very much on maximizing long-term shareholder value. And the long-term part of it tells you that we can be patient to avoid that the shareholder value part tells you that we do have to see a path to getting a return. And the best I can really tell you at this point is that we continue to stay very, very close to the business and monitor every single development in it very, very closely. And we will keep you posted. 
Robin Murchison: Okay, all right. And then just the last couple of questions, if I can. One is to see if you have any comments regarding the retail environment and you have any comments regarding the acquisition environment, leave it at that. 
J. Lanier: I'll take that -- this one first, then -- as we've said before, one of the reasons we are making these investments in Lilly and Tommy Bahama is to make sure we've growth and got additional runway going forward, so that we don't have to make acquisitions to generate growth. And we feel very comfortable with that strategy. But on the other hand, our balance sheet is such that we found a really good fit for us. We certainly have the capabilities to make an acquisition. But our prism is pretty narrow as to what we think would fit for us. If that answers that question. And I'd say in terms of retail environment and I'll have Terry and Tom comment on this also. But I think we still see plenty of challenges out there, and it is certainly not a time to have a mediocre product or brand. But I think that both Tommy and Lilly have proved that when you have that right combination, so regardless of the macroeconomic situation, you can make good progress as we are doing. Terry? 
Terry Pillow: Okay. Robin, I think Hicks is right. I mean, it's loosened up after a little bit, but it's got near back to where we've seen it. And I think what we're doing with the results that we expense in 2011 that our message is getting out there, and just resonating as long as we stay true to who we are with Tommy Bahama and make great products and price them fairly and present them improperly, we're winning and outpacing obviously, a lot of the people in the market and gaining market share, so we couldn't be more pleased in a market that's still challenging. 
Thomas Chubb: I would add on what Terry said Robin and say that in Lilly Pulitzer, I think it's all about focusing on who we are, remaining true to who we are. And as long as we continue to provide pretty products that makes women feel good about themselves, I think we'll continue to see a lot of success. 
Operator: [Operator Instructions] We'll hear next from Susan Sansbury with Miller Tabak. 
Susan Sansbury: I wondered if I can get Terry or Tom or Hicks to talk about the new store openings program post in -- outside of the United States, outside of what you have already discussed, are you going to open these stores and then test and evaluate? Or are you going to keep going? What is the long-term opportunity? And in that regard, how much of these infrastructure investments are going to -- that you're incurring this year are going to roll off in 2013 and 2014? This is like -- I guess, that's dependent on your real estate cadence? 
J. Lanier: Okay. That's a great question, Susan. And I think we can respond to it. We have detailed prestores that we're opened and hopefully, there'll be more than that within the next 12 to 18 months, and we think there will be. And obviously, there's some testing involved in getting the formula exactly right. But the infrastructure, we have and are continuing to put in place is an infrastructure for a long-term play and those -- the handful of stores that we will open this year and early next year cannot support the infrastructure we're putting in place. We're planning on a much faster rollout if we get our feet wet in this time. So we're in it for the long run, and we are going to very confident on to our ability to succeed at it. That doesn't mean we're going to have everything perfect the first time out-of-the-box but I think we've got the team in place, so both local people and seasoned veterans that we're going to make a success at this. And we think we've got huge runway ahead of us as it relates to international expansion. And, Terry, you can add to that any way you want to. 
Terry Pillow: We're very excited about it, and can't wait to see the store on Thursday that we're opening and see the reaction to that. Just following that one in Singapore, we're building beautiful stores that match up perfectly to our brand message. And as Hicks said, we've never considered this as a test. We've been working on this for a better part in 2 years, and we've approached it always, as we're going to have a presence. We've done extensive research that tells us the market will -- is ready for Tommy Bahama in that market, and we look forward to sharing with you the results of that as they keep coming. 
Susan Sansbury: Okay, all right. Well, I look forward to that. But when are we going to have a 53rd week year, next year or this year? 
K. Grassmyer: This year. We'll have our year end from February 2 as you go from 2013 because 2012 is a 52-week year. 
Susan Sansbury: Okay. Any projections about what the top line or bottom line impact there may or may not be? 
K. Grassmyer: It's not huge. It's not huge talking about late week of January, so it's not a huge impact. 
Susan Sansbury: Okay. Just product cost increases first half versus second half and then for the year? 
K. Grassmyer: First quarter, especially -- last year in the first quarter, we really had the low-cost product running through the system. This year, it's going to be the high-cost products. The first quarter will be a difficult gross margin compare. Second quarter will mediate to a degree, and then third and fourth quarter we should put the other way where we should have -- we can have a positive compare. So let the costs to get all the way back to where they were, but they're getting back that -- the time piece is coming back. 
Susan Sansbury: Did you throw out a number for the first quarter or the first half in terms of how much product costs is going to increase? And then how much is going to decline in the back half? 
K. Grassmyer: Yes. The product costs are probably somewhere in that 6% to 8%. But we've offset a degree of that to price increases. But year-over-year, we're probably somewhere in that range. But we've said that our unit buying for the year, we think we'll actually -- gross margins will actually go up year-over-year for the full year, but it will be mostly a second half is when we will get the increases. 
Susan Sansbury: Okay. And then just one sort of funds question, with respect to working capital requirements as you open these new stores, as you increase the payments for the U.S. store openings, or I'll just ask a question about the line. what type of excess free cash flow do you expect to generate in 2012? 
K. Grassmyer: It will be pretty modest because of the capital expenditure pace being $60 million. But we should be flattish to modestly positive free cash flow after capital expenditures and after dividend. 
Susan Sansbury: Okay, great. Well, best of luck. I think it's marvelous. I can't wait until you can talk or are able to talk in a little bit more detail. 
J. Lanier: Terry, you might want to compare the Macau store with other experiences we've had in the U.S. and also the experience we've had in with Asian and customers in Hawaii. 
Terry Pillow: That's right. I mean, this -- what gives us the confidence to do this is that we've got 5 stores in Hawaii right now and we've been doing business for over 10 years for this Asian clientele. It's a high concentration of Asians visiting Hawaii and a lot of our stores domestically, quite honestly, that we've had. So we feel very confident that even though the brand -- there's not a great brand awareness right now, with us being in the Asian market, we feel that there's a fair amount of people that do know who we are that are going to help us make a success. 
Susan Sansbury: Do you get phone calls, I mean, to the extent, you're opening -- I don't want to make this conference call too long, but your peak season. You're doing it by yourself upfront. What is the interest level or is it too early to gauge with respect to joint venture franchise or distributor partners? 
Thomas Chubb: In the last 2 years, we've been over there quite a bit, Doug and myself. We've talked that there have been considerable interest from outside partners. We looked at the market and decided the best place for us was to set the tone for what we do like we do in America, and tell our message ourselves. There's nobody better to do it than us. We'd retained architects over there that have flown over here and looked at that stores and we've designed stores that we feel are very, very brand-appropriate. And we couldn't be more excited about it. 
Susan Sansbury: Okay, well best of luck. I'm at 43rd and Madison and Anne sent us the pictures of the.. 
Thomas Chubb: What pictures? 
Susan Sansbury: Of the flagships now under construction, so I'll probably be the one -- fist in line to at least get a drink at the bar. 
Terry Pillow: Walk up there and see it, Susan. It's quite impressive. I was there on Saturday and saw that it's beautiful. The barricade is up, you'll get a kick out of it. 
J. Lanier: But don't look at 43rd, go to 45th. 
Operator: [Operator Instructions] We'll go next from James Ragan with Crowell, Weedon. 
James Ragan: I had a quick question, just looking at the online sales, up 50%. Tommy Bahama, I think you've mentioned is up over 100% and Lilly Pulitzer. And it's really impressive performance, and I know you're doing a lot of things in terms of sending out the daily email. But could you just talk a little bit about why do you think you had such success there? And are you pursuing other social media links, maybe just talk a little bit about the online part of the business? 
Terry Pillow: So James, I think primarily our brand message is getting across. And we're spending a tremendous amount of time and effort on the content of our site. We're going on approximately 4 photo shoots a year on location making sure that, that site is better than anybody in the marketplace and we think ours is. And we think that, that's the best place for us to tell our story or as good place as in our retail stores. And it's nice to see that, that channel is performing as well as it is. And our comps and our own retail stores are continuing to be strong as well. So we think we've got a great brand message, and e-commerce is the perfect place to tell that message. And we're gaining a larger database of people that we can talk to by sending mailing pieces and opening new stores. And as we open these new stores, we've said we're opening 8 to 10 new stores next year. We gain a lot of -- bring a lot of people into the brand, when we open these stores and markets that we've never been to. So we definitely can see that, that piece is going to continue to grow as we grow these 8 to 10 stores, doing business in those stores and also doing business online. So I'm sure you've seen our website, and you can see how great that site looks and we're very, very proud of it. 
James Ragan: Yes, it's impressive. And when you reach out to the customers through the e-mail or Facebook, how are you choosing, which products to highlight or teams to present based upon what you're seeing in your retail stores? Or how are you making those decisions? 
Terry Pillow: Well, we send product on these photo shoots, and we'd say early on in the season what the messaging from a fashion standpoint or from a basic standpoint what we want to say. And we make sure the mix is the right mix that it doesn't get too basic or too fashion and we do that upfront. We take that product on the shoot, shoot it, put a mailer together, put it on the website, and the cadence, on a daily cadence or weekly cadence where we show the best foot forward of what we think represents the Tommy Bahama brand. 
J. Lanier: Tom, you want to talk about social media with Lilly? 
Thomas Chubb: Yes, I think most of what Terry said applies very much to Lilly Pulitzer's as well. And of course, they've had great success with their e-commerce site, I would say that social media is also very, very important to them with their base -- customer base being almost all female, of course, and maybe skewing a little bit to the younger side. Social media is hugely important and Facebook has been a huge part of their communicating with their customers and frankly, allowing their customers to communicate with each other. More recently, the one that they're seeing a lot of momentum with is this website called Pinterest, which is a digitally oriented social media website where people can go out and basically do a digital bulletin board of the images that are things that are exciting them in their life. It's quite interesting they have to spend a good bit of time on it. But that's a website that is particularly attractive to female consumers. And with Lilly Pulitzer being a very visual brand with all the color and print and pattern, that type of thing, it's early in its history, but we think that's going to be an exciting vehicle to help communicate the brand message in yet another way to the consumer. 
J. Lanier: You want to make any comments about growth rate and... 
Thomas Chubb: Well, we have commented on it before that the growth rate in Lilly Pulitzer, both the social media participants and the email list has been outstanding. We also have an iPad app. I should have mentioned that earlier. This was a great thing where we developed an app specifically for the iPad, and you go and download it and then every time a new catalog comes out, you have that catalog on your iPad. You can go through it page by page. When you're looking at a dress or a pair of pants or whatever, there's a button you can push, and change the color of those pants. As you know, the sort of color quality on the iPad is just outstanding and the resolution is outstanding. So it looks beautiful. There's the -- some of the behind-the-scene videos that you can see on there, all great stuff. And then the -- just in terms of the number of Facebook fans and email addresses that we have in our database, we, I think basically tripled our email list in the past year to something just sort of 600,000, I believe in 2011, And the Facebook fans finished the year at I think 380,000 or so, which was a huge increase. 
James Ragan: Great. Well, that's a great response, I mean, who would have thought that Oxford Industries would be on the leading social media marketers out there? So kind of great job on that. 
Terry Pillow: Well we picked the right people to align with. I'm not sure if Hicks and Tom and Scott, left with their own devices would have come up with this whole... 
Operator: I'm seeing no further questions in the queue. I'll turn the conference back over to Mr. Lanier for any additional or closing remarks. 
J. Lanier: Thank you, Yolanda. We'd like to thank all of you for your interest on today's call today and your good questions. We believe we have a terrific story here and look forward to presenting our first quarter results here in early June. 
Operator: That does conclude today's conference. Thank you, all, for your participation, and have a wonderful day.